Operator: Good day, ladies and gentlemen, and welcome to the ASUR Second Quarter 2009’s Results Conference Call. My name is Melissa and I will be your coordinator for today. At this time, all participants are in listen-only mode. After the speakers’ remarks there will be a question-and-answer session. As a remainder this conference is being recorded for replay purposes. For opening remarks and introductions, I would like to turn the call over to Mr. Adolfo Castro, the Chief Financial Officer. You may proceed, sir.
Adolfo Castro: Thank you, Melissa. Good morning everybody. Thank you for joining us today for the conference call covering our second quarter results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on management’s current expectations and beliefs and are subject to a number of risk and uncertainties that could cause actual results to differ materially, including risks that may be beyond our company’s control. For an explanation of these risks, please refer to ASUR’s filings with the Securities and Exchange Commission and the Mexican Stock Exchange. Moving on to a discussion of the results, as you have seen, this has been a very difficult quarter. Passenger traffic, which declined 3.3% in the first quarter of the year reflecting the uncertainty in global environment, was down by 26.76% in the second quarter. All airports with the exceptions of Huatulco and Oaxaca, which have easier year-over-year comps posted declines in domestic and international passenger traffic. This strong decline was mostly due to the outbreak of the H1N1 Influenza in México. As you may recall, on April 28th, the World Health Organization announcement – announced the outbreak. In light of these most passengers canceled their reservations and during the 10 days following to the announcement, flights to tour destinations in México were practically arriving empty and leaving full. In fact, passenger traffic, which was down by 2.1% in April, fell to a low of 50.7% in May, and begun a slow recovery, declining by 28.4% in June. As a result of the Influenza outbreak, international passenger traffic accounted for only 54.1% of the total traffic for the quarter, down from 57.1% in the second quarter 2008, and 66.7% in first quarter 2009. Domestic traffic, in turn, rose to 45% of total traffic from 42.9% in the year-ago quarter. Although the impact of the flu outbreak was the main driver behind the strong decline in passenger traffic to a lesser extent domestic figures also continue to reflect the loss of some airlines and reduction in flight frequencies and routes as a result of the macro slowdown that more than offset the lower fuel cost. For the remainder of the year, we expect traffic to remain weak, posting negative comps, at least well into the beginning of fourth quarter 2009. Although the international crisis is subsiding and the Influenza effect is decreasing, international traffic will continue to be indirectly affected by [ph] the flu as international tourist operators look for alternative summer destinations, given the uncertainty and health concerns at the time. Remember, normally international travel packages from the U.S. and Canada are booked between two to three months in advance and from Europe from six to one year. On the domestic front, although the flu is not an issue today, we are still seeing the effects of the economical slowdown in México, and we believe it will not disappear in the short term. Total revenues fell 16.1% this quarter, driven by declines of 17.7% in aeronautical revenues and 13% in non-aeronautical revenues. Commercial revenues fell 11.74% year-on-year. Commercial revenue per passenger, however, rose 20.29% to 59.29 Mexican pesos this quarter, reflecting mainly the positive impact of the 28% depreciation of the peso against the dollar during the last 12 months of the year as contracts with some concession holders are denominated in U.S. dollars. Operating cost and expenses for the quarter rose 2% year-on-year. Keep in mind that comps this quarter were negatively affected by the reversal of a deferred decision for approximately 34 million pesos in the second quarter 2008 and as a result of the personnel reorganization implemented that quarter. Excluding this effect, cost of services will have decreased by 8.4% and total operating cost and expenses will have decreased by 5.5%. Administrative expenses, in turn, declined this quarter reflecting a reorganization contract with suppliers. Technical assistance cost and concession fees also posted a decrease driven by the decline in revenues. In summary, the 16.1% decline in revenues and 2% increase in cost resulted in a 36% decline in operating profit to 243.3 million pesos. This quarter, we made CapEx investments on 56.35 million pesos mainly on the second runway of Cancún Airport, which remains on target to begin operations in the fourth quarter of this year. In terms of our balance sheet, we closed the quarter with cash and short-term investments of 973 million pesos. The majority of these remain in short-term investments. As I mentioned in our previous conference call in May, due to the uncertainty, we took some debt to be ready to the fund the CapEx program for the year. As you may have seen on yesterday’s release, the debt consists of a 250 million pesos three-year term facility from each of the IXE Banco, Banco Santander, and BBVA Bancomer. The facilities are denominated in pesos, and charge an interest at the rate based on TIIE [ph] plus 1.75% to 2.00%. To reduce the company’s exposure to adverse fluctuations in interest rates we have entered into interest rate swap agreements for each of the three credit facilities, which have fixed the TIIE at between 6.21% to 6.37% as of today. As of today, 600 million pesos have been disbursed on these facilities. As always, we intend to be conservative in terms of balance sheet management. Now, let me open the floor for questions. Please Melissa, go ahead. Melissa, are you there?
Operator: (Operator instructions) Please have your question from the line of Thomas Löffler from UBS. You may proceed, sir.
Thomas Löffler -- UBS: Adolfo, good morning, thank you. Thank you very much for the call. One or two questions in terms of what’s happening with or what happened in the quarter with the margin. Your commercial revenues were up and one would think that that would alleviate some of the negative impact of operating leverage coming in from the decline in aeronautical revenues. Why do you think that this wasn’t really the case or what’s the impact you are seeing in the sort of aeronautical costs or maybe even commercial costs that is generating this sort of big lever despite what’s going on with commercial revenues? And can you talk a little bit about it going forward?
Adolfo Castro: Yes, good morning, Thomas. Well, you know that this industry is managed by basically a large fixed cost structure. So, if you are seeing a revenue decrease, you will see a margin decrease no matter what the actions we take on that respect. We have taken a lot of actions in order to reduce the cost, but of course as I have said a reduction in revenues was pretty, pretty strong [ph].
Thomas Löffler -- UBS: Okay. And I think I’ll take it from there. Thank you.
Operator: And your next question comes from the line of Pablo Riveroll from Credit Suisse. You may proceed.
Pablo Riveroll -- Credit Suisse: Hi, good morning. Related to the margin question, what incremental cost did you incur during the quarter due to the swine flu? And I have another question regarding the swine flu. We’ve seen some expansion of the virus to the southeast of the country mostly in Chiapas, but also at some other southeast states. So I am wondering if you are seeing any impact at all and if you can given us some color on how July traffic is looking?
Adolfo Castro: Hi, good morning, Pablo. We – yes, you are right, we have some cost as a result of the swine flue. The additional cost that we had was the additional procedures that were enforced by the Mexican government in order to monitoring the effect of the virus – of the people that was entering and leaving the country. I would say that this was not significant, probably 300,000 pesos – 400,000 pesos and months it was two months, it was not three months during the quarter. In terms of what you were mentioning, yes, it’s true that the virus is affecting very strong in Chiapas right now. Remember that Chiapas is probably one of the poorest states in México. And it has also an impact in – a minor impact in Yucatan. We are not seeing major impact of the swine flue in terms of passenger traffic from domestic people. Of course, the major impact in the swine flu is international traffic and basically was because they redirected their summer to somewhere else. The moment when this was announced was crucial for the tour operators and they decided to change and not to run the risk of losing the possibility of moving [ph] their customers. So, what I can say to you is, yes, we are affected from the swine flu today, but mostly in the case of international traffic. It is not in the case of the domestic.
Pablo Riveroll -- Credit Suisse: Okay. I think I understand. And well so far we’ve seen that occupancy levels have recovered somewhat in the Mayan Riviera. Do you have any color on how July traffic is shaping up?
Adolfo Castro: Well, it’s of course better than what it was in May and better than what was in June. Remember again also that in the case of the domestic traffic we have some impact from the delay in the holidays. This year the holidays were two weeks later or the beginning of the holidays was two weeks later compared with last year. So that had also an impact in the domestic traffic for the month of June. And I would say in the case of July, of course, (inaudible) it’s as respective or is not as we thought one year ago. I – as I said during the conference, we will – we expect weak numbers for the coming months and mostly these as a result of the crisis, the domestic crisis in México, and the effect of the swine flu for the international traffic.
Pablo Riveroll -- Credit Suisse: Great Thanks.
Operator: And your next question comes from the line of Stephen Trent from Citi. You may proceed.
Stephen Trent – Citi: Good morning, Adolfo, and thank you for the time this morning. One or two questions from me, first of all, looking at the SET, obviously this former director, Luis Tellez has had telegraphed that we would see a review on our airport bid by the first half of this year, which of course hasn’t happened and swine flu has had an impact on the country. Luis Tellez is no longer the SCT head. Can you give us any color as to where you think the SCT might be with respect to its thoughts on competing airports?
Adolfo Castro: Yes. Again, we are hearing some news from their side saying that they are working towards – to have this project ready for the second half of this year. What I can say to you is that probably for the first time I am seeing them working towards – to have the project or the bidding documents ready. We have seen some developments in basically the land where these airports should be located. Apparently, some agreements have been reached on each sides and this is not any easy task. You have seen what is happening with Pemex today. But I believe that – or I feel that they are working towards this project. Of course, as you have mentioned, this is not the best time for this project. We have this swine flu effect and the numbers that we are seeing right now are not very positive to launch a project like that. But what I believe is that they are working towards to have this project ready.
Stephen Trent – Citi: Okay, very clear. Thanks, Adolfo.
Adolfo Castro: You are welcome.
Operator: And your next question comes from the line of José Carreño [ph] from GBM. Please proceed.
Mauricio Santos -- GBM: Hi, Adolfo. It is Mauricio Santos. Well the question, returning to commercial revenues, did you made [ph] any changes on your leasing contracts on account of the current environment? And while this is thinking that compared to last quarter commercial revenue has managed to de-couple from the fall in –the decline in traffic pretty much it did not happen this quarter.
Adolfo Castro: Yes, hi good morning, Mauricio. There are some effects during the quarter about commercial revenues. The first one in terms of renegotiations, we made some agreements or we renewed the car rental agreements and that had an impact on the first side. On the other side it’s clear that when you have less passengers and you have, I would say, a less congested terminal that people is more willing or have more willingness to go and buy some food and – or some goods or services. What I can say is that, yes, we had a very good quarter that we see these from the number on a per passenger basis. You know that our objective as a company is to increase these all the time. We still believe that we can do better and I hope that once this situation is normalized again, we will continue with these numbers.
Mauricio Santos -- GBM: Do you have any estimates for commercial revenues for this year, for the second half of the year.
Adolfo Castro: No, you that we don’t give any estimates in numbers.
Mauricio Santos -- GBM: How well the – but do you believe that may be this second quarter results will be more – we be a better comparison for the second half?
Adolfo Castro: Well, that’s what we hope. What I am saying is, yes, we had a very strong quarter in terms of commercial revenues per passenger and again if this situations is normalized during the fourth quarter, I hope that we will be able to maintain the level that we are seeing today.
Mauricio Santos -- GBM: Okay. Thank you very much, Adolfo.
Adolfo Castro: You are welcome.
Operator: And your next question comes from the line of Karla Pena from Interacciones, Please proceed.
Karla Pena -- Interacciones: Yes. Thank you. Hi, Adolfo. Just two questions from me. I was wondering if you could just give us some light on how much you -- or if you expect CapEx to be higher or lower than first half for the second half and if you would consider it probable to delay the reopening of the runway given the traffic levels – current traffic levels well, yes, the runway in Cancún? Thank you.
Adolfo Castro: Okay. You know that we have reached an agreement for the MDP end of the first quarter of this year with the government. The number is around 600 in terms of cash flow, around 600 and something million pesos. And you know that the number that we published on our press release of April the second has the note that says basically that we have invested some amount and that you should be discounting these from the cash flow perspective. So the amount for the entire year should be very close to 600 and something million pesos. In terms of the second runway, we are still in line with our dates -- the target dates for the opening of this infrastructure and we are estimating that for the month of October this year.
Karla Pena -- Interacciones: Okay. Thank you. Operator (Operator instructions). And your next question comes from the line of Nick Sebrell from Morgan Stanley. Please proceed.
Nick Sebrell – Morgan Stanley: Hi, Adolfo. First, could you elaborate just a little bit, you are talking about the holiday delay, are you referring to state holidays or is that a standard vacation period that people get?
Adolfo Castro: Yes, Nick, good morning. It was due to the swine flu the government started to close some schools first in México City and then nationally. Because of these they though that the children should be recovering this time losing some holidays and they decided to extend the period of the school, reducing two weeks the holidays during the summer for the entire nation. And that’s what we saw during the first two weeks of June this year, so that’s what I am saying. That had also an impact on the month of June.
Nick Sebrell – Morgan Stanley: June was lower than you expected then or lower than it otherwise would have been?
Adolfo Castro: Exactly.
Nick Sebrell – Morgan Stanley: Okay. Okay and next question regarding the Mayan Riviera airport. What’s you understanding as to whether ASUR would be able to bid or the most likely you know--?
Adolfo Castro: Well they (inaudible) and all the officials there are saying that we are going to be able to participate. The one who has to approve these is the Antitrust Commission. I believe that they are going to allow us to participate. We have said this many times. If they don’t allow us, we will try to block this process through legal procedures. So, I don’t expect them to say no to ASUR’s participation.
Nick Sebrell – Morgan Stanley: Okay. And then two more questions. First, is there any possibility of delaying or reducing CapEx if the need for capacity is found to be not present due to the traffic? And then second, I know you can't give specific traffic details, but if we were to assume and think about 2010 well into the year when all of the swine flu and GDP recovery and what not is back to sort of a normal level, do you think it would be most reasonable to assume that we are back at kind of a 2008 traffic level or may be something closer to 2007? What you think things settle out on an absolute basis?
Adolfo Castro: Okay. Let me talk about the CapEx. Yes, from a legal perspective, there is three ways to revive the maximize grades [ph] or to reduce the CapEx and these three cases are when you have – when we have a natural disaster, when we have very severe slowdown in the economy, and when there is a change in law. Today, the swine flu can be considered as a national disaster. But it’s a weak – I would say a weak legal case. It’s clear that we have a sever downturn in the case of the Méxican economy and in that respect I think we have a very strong case there, but of course we will have to wait, I would say, one year as from the moment when the MDP was approved. So, it is possible to present a legal case or it’s going to be possible to present a legal case because of the slowdown in the Méxican economy, but that can occur, let’s say, second quarter 2010. Of course, again from a legal perspective, it is not clear that the government has to deduce [ph] or has to approve these MDP modifications with of course the effects of reducing the CapEx. Yes, that’s a possibility or that could be a possibility for the future. We will have to see when it’s – what happens. In case of the traffic, what I expect for the year 2010 is of course a very strong recuperation from the international traffic due to the economic recovery and also that I hope that it will not be affected by the swine flu. But in the case of the year 2010, what I expect is, for the domestic traffic, is that the domestic traffic will continue for the year 2010. I don’t see how the Méxican economy will recover as fast as the U.S.’ recovery. So, the Méxican recovery is something that I am seeing more in the year 2011.
Nick Sebrell – Morgan Stanley: Okay. So, may be normalization by 2011 and back to the long-term trend?
Adolfo Castro: I hope so.
Nick Sebrell – Morgan Stanley: Okay. Adolfo, thank you.
Adolfo Castro: You are welcome.
Operator: (Operator instructions) We conclude the question-and-answer session. So, I turn the call back to Mr. Adolfo Castro for any closing remarks.
Adolfo Castro: Thank you, Melissa. Thank you. As you have seen this was a difficult quarter as the negative effects of the Influenza added to the slowdown resulting from the economic crisis in México and abroad. Nonetheless, our fundamentals remain strong and we continue to take all the necessary steps to effectively manage the company in these challenging times. Thank you for your attention and for being here with us on this conference. Have a good day.
Operator: Ladies and gentlemen, this concludes the presentation. Thank you for your participation in today’s conference. You may now disconnect. Have a great day.